Operator: Good morning, ladies and gentlemen, and welcome to the Cooper-Standard Third Quarter 2025 Earnings Conference Call. As a reminder, this conference call is being recorded, and the webcast will be available on the Cooper-Standard website for replay later today. I would now like to turn the call over to Roger Hendriksen, Director of Investor Relations.
Roger Hendriksen: Thanks, Danny, and good morning, everyone. We appreciate you spending some time with us this morning. The members of our leadership team who will be speaking with you on the call this morning are Jeff Edwards, Chairman and Chief Executive Officer; and Jon Banas, Executive Vice President and Chief Financial Officer. Before we begin, I need to remind you that this presentation contains forward-looking statements. While they are made based on current factual information and certain assumptions and plans that management currently believes to be reasonable, these statements do involve risks and uncertainties. For more information on forward-looking statements, we ask that you refer to Slide 3 of this presentation and the company's statements included in periodic filings with the Securities and Exchange Commission. This presentation also contains non-GAAP financial measures. Reconciliations of the non-GAAP financial measures to their most directly comparable GAAP measures are included in the appendix to the presentation. With those formalities out of the way, I'll turn the call over to Jeff Edwards.
Jeffrey Edwards: Thanks, Roger, and good morning, everyone. We certainly appreciate the opportunity to review our third quarter results and provide an update on our business and the outlook going forward. To begin on Slide 5, I'll highlight some of the key third quarter data points that we believe are reflective of our continuing outstanding operational performance and our ongoing commitment to our core company values. In terms of operations and customer service, we're on track to have possibly one of the best years in our company's 65-year history. We ended the third quarter with 99% of our customer scorecards for quality and service being green. For new program launches, we also continue to deliver strong performance with 97% of those scorecards green. Our plant managers and our plant employees continue to deliver outstanding performance and value for our customers through their dedication and commitment to excellence. We're extremely proud of that. Also in our plant operations, safety performance continues to be excellent. In fact, during the third quarter, we had a total incident rate of just 0.28 recordable incidents per 200,000 hours worked. That's well below the world-class benchmark of 0.47. Importantly, 36 of our plants have maintained a perfect safety record with a total incident rate of 0 for the first 3 quarters of the year. That's 60% of all of our production facilities achieving a perfect safety score and demonstrating that our ultimate goal of 0 safety incidents is achievable. We're proud of our entire global team for their focus and achievement in this most important operating measure. In terms of cost optimization, we had another solid quarter with our manufacturing and purchasing teams delivering $18 million of savings through lean initiatives and other cost-saving programs. These cost reductions and operating efficiencies, combined with revenue growth in the quarter, allowed us to achieve a solid 140 basis point improvement in gross margin versus the third quarter of last year. Despite some of the market headwinds that we've been seeing, we continue to drive profitable growth and margin expansion through the execution of our plans and strategies. Finally, we're continuing to leverage world-class service, technical capabilities and our award-winning innovations to win new business. During the third quarter of 2025, we received $96 million in net new business awards, which are expected to drive profitable growth as they launch over the next few years. That brings our total net new business awards for the first 9 months to nearly $229 million. I will provide some additional detail on this in a few minutes. First, let me turn the call over to John to discuss the financial details of the quarter.
Jonathan Banas: Thanks, Jeff, and good morning, everyone. In the next few slides, I'll provide some details on our financial results for the quarter and discuss our cash flows, liquidity and aspects of our balance sheet and capital structure. On Slide 7, we show a summary of our results for the third quarter and first 9 months of 2025 with comparisons to the same period last year. Third quarter 2025 sales were $695.5 million, an increase of 1.5% compared to the third quarter of 2024. The slight increase was driven primarily by positive foreign exchange and favorable volume and mix, partially offset by certain customer price adjustments. As Jeff mentioned, our third quarter 2025 gross margin improved 140 basis points compared to the prior year to 12.5% of sales. Adjusted EBITDA in the quarter was $53.3 million, an increase of more than 15.6% when compared to the $46 million we reported in the third quarter of last year. Importantly, we were able to drive further margin expansion of 100 basis points versus the same period a year ago despite the modest revenue growth and market headwinds. On a U.S. GAAP basis, we reported a net loss of $7.6 million in the third quarter compared to a net loss of $11.1 million in the third quarter of 2024. Adjusting for restructuring and other items from both periods as well as the related tax impacts, adjusted net loss for the third quarter of 2025 was $4.4 million or $0.24 per share compared to an adjusted net loss of $12 million or $0.68 per share in the third quarter of 2024. Our capital expenditures in the third quarter of 2025 totaled $11.2 million or 1.6% of sales, similar to the prior year period. We continue to exercise discipline around capital investments, which are primarily focused on program launch readiness in order to maximize our returns on invested capital. Moving on to the 9 months. For the first 9 months of 2025, our sales were essentially flat compared to the first 9 months of 2024. Significantly, and despite flat revenue over the first 3 quarters, our gross profit margin increased by 170 basis points and our adjusted EBITDA margin improved by 230 basis points compared to the first 9 months of last year. Moving to Slide 8. The charts on Slide 8 provide additional insights and quantification of the key factors impacting our results for the third quarter. For sales, favorable volume and mix, net of customer price adjustments, increased sales by approximately $2 million compared to the third quarter of 2024. The impact of favorable foreign exchange was approximately $8 million. For adjusted EBITDA, lean initiatives in purchasing and manufacturing positively contributed $18 million year-over-year. In addition, we continue to realize benefits from our restructuring initiatives implemented in prior periods, amounting to $5 million in incremental savings in the third quarter compared to last year. Favorable foreign exchange was a tailwind of approximately $4 million in the quarter. Partially offsetting these improvements were $5 million of unfavorable volume and mix, including customer price adjustments and the impact of certain short-term production disruptions, $6 million in increased costs and wages and general inflation and $6 million in higher SGA&E expense. The increase in SGA&E expense was primarily related to stock price appreciation adjustments for certain equity-based incentive awards as our share price increased by approximately 72% during the third quarter. With most of the price gain occurring later in the quarter, this increase and the related incremental expense were not contemplated in early August when we last reported earnings and updated our guidance. Moving to Slide 9. On Slide 9, we present the same type of year-over-year bridge analysis for the first 9 months of the year. As mentioned, sales were essentially flat for the first 9 months with slight positive volume and mix being offset by unfavorable foreign exchange. Adjusted EBITDA in the first 9 months increased by more than $48 million or more than 38% compared to the first 9 months of 2024. The improvement was driven primarily by $63 million of manufacturing and purchasing efficiencies, $17 million of restructuring savings and $9 million of favorable foreign exchange. These positive drivers were partially offset by $20 million of unfavorable volume, mix and price adjustments, approximately $19 million of higher wages and general inflation and $5 million in higher SGA&E expense, again, mainly due to the stock price appreciation discussed earlier. Overall, our SGA&E continues to benefit from previous restructuring and cost reduction initiatives and a disciplined management focus on controlling costs. We are pleased with our improving results in the first 3 quarters of 2025 as our focus on controlling costs, delivering exceptional operational performance and launch of new, more profitable programs are having the positive impacts we had planned despite some of the market headwinds we began to see late in the third quarter. Moving to Slide 10. Looking at cash flow and liquidity. Net cash provided by operating activities was approximately $39 million in the third quarter of 2025 compared to $28 million in the third quarter of 2024. Capital spending, as mentioned earlier, was approximately $11 million in the third quarter of 2025, resulting in net free cash flow of approximately $27 million for the quarter, more than $11 million higher than the same period last year. We ended the third quarter with a cash balance of approximately $148 million. Coupled with $166 million of availability on our ABL facility, which remained undrawn, we had solid total liquidity of approximately $314 million as of September 30. We believe that is more than sufficient to support the continuing execution of our business plans and profitable growth objectives in today's environment. Following the solid results of the first 3 quarters and even considering our revised outlook for production volume headwinds in the fourth quarter, we believe we remain on track to achieve positive free cash flow for the full-year this year. With respect to our capital structure, we are continuing to evaluate various options to strengthen our balance sheet and further improve our cash flow and are carefully monitoring market conditions and developments in the credit markets. We are optimistic that as we continue to deliver improving results, we will be able to favorably refinance our first and third lien notes in the next several months. With that, let me turn it back over to Jeff.
Jeffrey Edwards: Okay. Thanks, Jon. And this last portion of our call, I'd like to again comment on our high-level strategic imperatives and how these are positioning us for continuing profitable growth over the next several years. Then I'll wrap up with a few comments on our near-term outlook and our revised guidance for 2025, so please turn to Slide 12. Our strategies and operating plans are built around the 4 key strategic imperatives that you see outlined on Slide 12. By aligning the company around these common objectives, we've been able to drive significant improvements in virtually every aspect of our business. By the continuing execution of our plans and strategies, we're positioning the company to deliver continued profitable growth, further improvements in margins and significantly improved returns on invested capital as we discussed in last quarter's call. Moving to Slide 13, as I name it, my favorite slide in today's presentation. One of the key improvements in our business has been the increase in our profit margins all financial strength and overall financial strength of the business. Through our successful strategic execution, we've been able to increase our gross profit margins by more than 100 basis points each year over the past 3 years, and that's despite reduced or flat production volumes in our 2 largest operating regions. Because of our focus on sustainable efficiency and fixed cost reductions, we will continue this trend of expanding margins into the future even if production volumes remain flat. We would obviously expect to leverage any increase in production volume to drive further profitability and returns. In addition to our cost optimizations, we're benefiting from continuing launches of new programs and products with enhanced variable contribution margins. As the new programs ramp up, they'll be replacing the older programs that have lower margins on average. Our book business, launch cadence and the timing of runout business give us a high degree of confidence in our expanding margin outlook. Turning to Slide 14. Our strategic execution is also enabling business wins that we believe will drive further profitable growth in coming years. I mentioned at the beginning of the call that in the first 9 months of the year, we've received nearly $229 million in net new business awards. Of the total awards, 87% were related to the value-add innovations in product and technology that we've introduced into the market. We continue to believe that our strategy and capabilities around technology and innovation are a clear source of competitive advantage for us. Similarly, 83% of the new awards were related to battery electric or hybrid vehicle platforms, which is an indication of how closely our product offerings and innovations are strategically aligned with the fastest-growing segments of the market. Finally, as we shared last quarter, our growth strategy includes expanding our relationships with the fast-growing Chinese OEMs that are beginning to expand their business globally. This opens up significant opportunity for us to expand both in terms of our customer base as well as geographically where we believe the greatest growth will be occurring over the next several years. We are proud to be the supplier that our customers turn to for quality components, consistency of delivery and collaboration on critical design and development of new technologies. Now, we're also the supplier they're returning to, to support their global expansion needs. With these awards in hand and bright outlook for new business wins ahead, we are increasingly confident that we will be able to execute our plans and achieve our longer-term strategic financial targets for growth, margins and return on capital. Turning to Slide 15. To conclude our prepared remarks this morning, let me focus in the nearer term and our outlook for the rest of 2025. Following a somewhat choppy third quarter in which certain of our customers around the world experienced short-term production disruptions from things like cyber attacks, lightning strikes, labor disruptions, just to name a few, we're now expecting a much more significant impact, unfortunately, in the fourth quarter due to the aluminum supply chain disruption that has hit our largest customer. While we're encouraged by public commentary about plans to make up the lost production in future periods, there is no way we can mitigate the impact this will have on our fourth quarter. From a more positive perspective, the statements about making up lost production early next year support our view that the underlying demand for new light vehicles remains strong, it's consistent with our plans for strong profitable growth over time as markets normalize. We expect any reduction in production volumes related to this latest supply disruption to be temporary and will not have any lasting impact on our opportunities to achieve our longer-term strategic targets. As a company, we're maintaining our relentless focus on the aspects of our business that we can control, operational excellence, delivering world-class quality, service and innovation to our customers and continued near flawless launches of new programs with enhanced contribution margins. As we do this, we're confident that we will position the company to achieve our strategic financial targets going forward as production volumes normalize. Turning to Slide 16. Despite our strong results in the first 3 quarters of the year, which exceeded our original plans, we are reducing our full-year guidance ranges for sales and adjusted EBITDA to reflect the expected impact of various temporary reductions in customer production volume, including on some of our most important platforms. The waterfall chart on the right breaks out the various drivers of our revised outlook for 2025 full-year adjusted EBITDA versus 2024 actuals. Our success in delivering manufacturing efficiencies and other cost savings are still the biggest drivers to the positive, but unfavorable volume and mix is now a significantly greater factor to the downside. Importantly, even with challenging overall outlook in the fourth quarter, we still expect to deliver significantly higher adjusted EBITDA and positive free cash flow for the full-year on sales that are flat to slightly lower than they were in 2024. We want to thank our customers, our suppliers and all of our stakeholders for your continued confidence and support. We remain committed to working together and finishing the year as strongly as possible. This concludes our prepared remarks, so let's move into Q&A.
Operator: [Operator Instructions]. Your first question comes from Mike Ward of Citigroup.
Michael Ward: Jeff, if we look out in 4Q, it's unfortunate the fourth thing happened, but it sounds like they're trying to get it accelerated as fast as they can. Then it sounds like they're going to try to make it up pretty early in the first half. It also sounds like they're going to add a third shift to Dearborn and LineSpeed, so when you kind of balance it out, it's really just postponing it into first half '26. Is that how you're looking at it? Can we look at first half of '26 where some of the things actually start to accelerate for you? Is that the way you're thinking about it?
Jeffrey Edwards: That's exactly how I'm thinking about it. I think while the end of '25 isn't quite what we had forecasted because of the event, we're preparing our business plans for '26, '27 and '28. Certainly, there's an impact positively to what's going on in '26. Yes, it's a short-term issue, as I said in my prepared remarks, and I have no doubt that the first half of '26 will reflect improved results beyond what we originally had planned.
Michael Ward: When we look across the different vehicles you supply components to, if you had to pick one where they're increasing the line rate, would the F-150 be the one that your highest content vehicle?
Jeffrey Edwards: Yes. My short answer would be yes.
Michael Ward: Jon, I wonder if you can walk through the gives and takes on the cash flow because that's a pretty strong cash flow statement you made for 4Q. You have to pay the interest, right, that was accrued in 3Q, so you have the 6-month interest payment. Is that correct?
Jonathan Banas: That's correct. Mid-December is the next coupon due on the first and third lien notes.
Michael Ward: That's about $30 million?
Jonathan Banas: Actually, closer to $55 million. $55 million combined.
Michael Ward: Then you have working capital. It sounds like working capital should be a strong positive.
Jeffrey Edwards: It needs to be Mike.
Jonathan Banas: Right. To get to positive, we need to generate about $30 million-plus of free cash flow in Q4. You're right, the big benefit that we see as we do every Q4 is improvements in working capital, unwinding that from an accounts receivable perspective and reducing inventory levels as production winds down towards the end of the year. Both of those obviously have a positive cash benefit. We're spending less, obviously, in the lighter months of November and into December as well. That preserves some cash on the balance sheet as well. All that combined will benefit and more than outweigh the $55 million in coupon payment that's due in mid-December.
Michael Ward: The F-150 delays doesn't disrupt the working capital that much?
Jonathan Banas: The timing will matter about when the production comes out because if you think about the timing of average days receivable, things that don't get produced in October would impact the total quarterly cash flows. If it's later in November, December, that's not being produced, then that impacts the subsequent quarter's cash flow timing.
Operator: Your next question comes from Nathan Jones of Stifel.
Nathan Jones: I guess I'll start with some of the net new business wins and probably as, I guess, the year-to-date ones more than just focusing on the 3Q ones and how that impacts the path to the 2030 targets that you laid out last quarter? What I'm looking for is some more commentary on the linearity of the path from 2025 to 2030, should we expect the growth and margin expansion to be fairly linear between 2025 and 2030? Is it more backloaded? I mean, I think some of these Chinese OEM contracts will ramp up faster than maybe some of the Western ones. Just any commentary you can give us on the linearity you're looking at for that, please?
Jeffrey Edwards: Yes, Nathan, this is Jeff. I will tell you that we've been at this booking new business at these higher margins now for a couple of years plus probably. Yes, if you're going to take the line from today to 2030, I think it's pretty linear. Certainly, you're also correct that the Chinese launches are coming to market faster than most. Even with that taken into consideration, I would tell you we're very happy with what we're seeing in margin growth. We showed you a little bit of that today, the historical trend line there and even a glimpse into what we already know with 2026. If you drew the line from '26 to '30, you keep going on a similar trajectory.
Nathan Jones: I guess to follow-up to that, obviously, these platforms don't ramp up -- start ramping up out in 2030. There are net new business wins that you need to get over the next couple of years at least to get to those 2030 targets. What kind of net new business wins should we be looking for, say, in '26, '27 and '28 to check that the company is still on target to get to those 2030 goals?
Jeffrey Edwards: I think similar to what we track this year. That's kind of how we have to do it, right? You got to replace what's building out and you got to win the new stuff that's coming. Then if there's new programs or conquest opportunities on top of that. Historically, it's been in that same range that you see happening this year. We've had some years that were a little better, some years maybe a little bit under it, but I think that's a pretty good number going forward as well.
Nathan Jones: Then maybe a follow-up on the balance sheet. You're still at about 4.2, a little over 4 turns of leverage today. I think you guys have targeted getting that down closer to 2x by the end of 2027. Do you think you're still on target to get to there? Does any of this disruption change that at all? Or I still think that you're on target to get to that kind of leverage by then?
Jeffrey Edwards: This is Jeff. We're still on target to get there. As we just talked, I think '26 is actually going to be better than we originally had planned, not only because of what we discussed a few minutes ago with the volumes being made up from some of the fourth quarter disruption. I also tend to believe that we're going to see increases in overall volumes in some of our key regions. We don't have that yet in our forecast, but based on the leading indicators and certainly based on the amount of new models that are being invested in and coming through the system related to hybrid and electric vehicles, we're pretty excited about the businesses that we've been winning and the overall impact we think that will have on the next several years related to volume.
Operator: The next question comes from Kirk Ludtke of Imperial Capital.
Kirk Ludtke: On Slide 15, did any of these items impact the third quarter?
Jonathan Banas: Kirk, it's Jon. When you think about some of the non-aluminum issues, the answer would be yes. Obviously, the thing is about the cybersecurity incident at one of our customers as well as some of the natural disaster weather-induced things, they did impact September and did put a little bit of a drain otherwise on Q3.
Kirk Ludtke: Was it meaningful? Can you quantify it? Or kind of?
Jonathan Banas: You see it impacted in the lower volume and mix that we would have had otherwise. Certainly not anywhere near as significant as the Q4 impact of the $25 million that you see on the bridge slide. We were able to essentially manage through that, but you think of the lost revenue, it's a big portion of the lower contribution at $53 million of EBITDA. Otherwise, we would have been a couple of million higher than that.
Kirk Ludtke: I know we've talked about #1, but are #2 and 3, do you expect the production lost from #2 and #3 to be recovered in the first half of '26?
Jonathan Banas: We haven't heard directly on that from those #1 and #2 -- or sorry, #2 and #3 customers, but if it's any indication, I think that they'll be competing for share and should do well as far as their production ramps.
Kirk Ludtke: Then on Slide 14, the net new business slide, that's very helpful to break that out. Can you apportion that 83% between just battery and hybrid?
Jonathan Banas: We do have that breakdown, Kirk. I'm going to have to get back to you on what that -- the current business wins are. broken out by hybrid and the true battery electric, but as we indicated, the majority of the total is, in fact, electrified, one of those platforms or another compared to the ICE platforms, but we'll get you that in short order.
Operator: [Operator Instructions]. It appears there are no more questions. I would now like to turn the call back over to Roger Hendriksen.
Roger Hendriksen: Okay. Everybody, thanks for your engagement this morning. We appreciate your questions. If you do have additional questions that weren't addressed on the call this morning, please feel free to reach out to me, and if necessary, we can arrange for future discussions with the management team. Thanks again for joining the call. This will conclude today's session. Thank you.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.